Operator: Good morning, and welcome to the Atento Second Quarter 2021 Results Conference Call [Operator Instructions].  I would now like to turn the conference over to Mr. Shay Chor, Corporate Treasurer and Investor Relations Director for Atento. Please go ahead.
Shay Chor: Thank you. Welcome, everyone, to our second quarter 2021 earnings conference call. Before proceeding, please note that certain comments made on this call will contain financial information that has been prepared under international financial reporting standards. In addition, this call may contain information that constitutes forward-looking statements, which are not guarantees of future performance and involve risks and uncertainties. Certain results may differ materially from those in the forward-looking statements as a result of various factors. We encourage you to review our publicly available disclosure documents filed with the relevant securities regulators, and we invite you to read the complete disclosure included here on the second slide of our earnings call presentation. Our public filings and earnings presentation can be found at investors.atento.com. Unless noted otherwise, all growth rates are on a year-over-year and constant currency basis. Here with us for today's call are Carlos Lopez-Abadia, Atento's Chief Executive Officer; and Jose Azevedo, our CFO. Following their prepared remarks, we will move to a Q&A session. As we have been doing in recent calls, we do our best to answer all questions received. We believe the Q&A session is a relevant part of the call, so we encourage you to ask your questions over the phone through the webcast system or even by sending us e-mails.  I will now turn the call over to Carlos, who will do today's call from our office in Madrid. Carlos, go ahead.
Carlos Lopez-Abadia: Thank you, Shay, and good morning, good afternoon, to all of you. Yes, I'm speaking to you from our Madrid office. I've been in Mexico, Madrid over the last few weeks. I like to be with clients and our operations in as much as possible. And as markets return to normalcy and meetings are again possible, I am returning to my usual travel schedule. But we are here today to discuss our results and progress during Q2. We have finished the first half of the year with strong results. In Q2, we have continued our growth trajectory with significant improvements in revenue, EBITDA and continued cash flow discipline. Despite the continued impact of the Covid pandemic, in some of our regions it's still severe during Q2, we have delivered revenue growth of 17.6% in constant currency, 21.7% in current currency and $50.7 million of EBITDA, a 13.3% margin, more than doubling our EBITDA last year. These results have allowed us to continue deleveraging, putting us already within the full-year guidance of 2.5 to 3.0x net debt-to-EBITDA ratio. Beside EBITDA in H1 and solid expectations for H2, which, as you know, due to the seasonality of our business is when we generate high profitability and most of our cash flow have allowed us to be confident to catch up on some CapEx and tax deferrals that we did last year while investing in growth for this year. We continue to improve our hard currency mix, U.S. dollars and euros. We're delivering around 25% of our revenue and 30% of our EBITDA, 15.8 percentage points more than last year in hard currency. This is thanks to continued growth of our U.S. business and improving profitability of our EMEA operation. We feel that our sales engine continues to improve. We have more than doubled sales in the first half of 2021, and we expect to finish this year with a strong book of business leading into 2022. Despite the fact that we continue to be vigilant, and we continue to invest in Covid related safety measures. With these results, we feel that we have fully recovered from the impact of the pandemic in 2020, amply exceeding the results of 2019 and being fully on track to deliver our 3-year plan. Now while delivering the day-to-day, we continue to focus on our transformation. This quarter, we have added a new Chief Human Resources Officer a new CIO, a new Chief of Information Security and a new ESG Director. For a people-intensive business and the quality of our HR processes and talent management is key to our results. And further, as we change the company, we need to renew skills, talent profiles and work culture. And the new HR leadership is paramount to these objectives. We're also placing more and more emphasis on the technology that we use and that we bring to our clients. Among this, of particular importance is server security these days, both for our internal use and as a differentiator in our market offer. We will continue to add talent to our technology innovation and cyber areas. ENS has always been very important to attend on. We feel that we have done a lot in the past in this area, but we did not have a formal program at the real level. We have a structure, a formal ESG program under new leader, and we have elevated the visibility to the Board of Directors under a new Compensation and Sustainability Committee. We will be presenting our ESG plan and commitments publicly in Q3. As we approach the third year of our three year plan, we will be focusing progressively more on our third horizon growth. Our U.S.A. strategy continues to gain momentum. We have achieved in Q2, 33% growth in revenue, 53% growth in EBITDA. We continue to achieve wins in both the commercial and government sectors, with important new contracts, important wins, one of them serving the U.S. Department of Homeland Security. Although the majority of our employees work, and are expected to continue to work from home. We are opening 2 new centers, one in Florida and other one in Utah, thus giving us better time zone coverage. Our strategy to focus on new sectors and global accounts continues to be interaction. We continue to grow in all of our geographies and in our new focus verticals, such as media, tech and more digital, advancing their share from 8.6% to 10.9% of our total base. We are launching new services and expanding profitable ones. We're expanding our multilingual services with partnerships such as the one we recently announced with ManpowerGroup. Now having finished a strong H1 with a strong Q2, we feel increased confidence to meet or exceed the guidance that we provided for the year. We expect to finish the year strongly on track to meet the objectives of our 3-year plan for 2022. As I said to you, from my first presentation, this management team will work hard to earn your trust, and I cannot think of a better way than consistently delivering on our commitments to you. Let me turn this over to Jose that has more details on our sales. Jose.
Jose Azevedo: Thank you, Carlos, and good day, everyone. I will start by presenting to you in more detail how we're continuing to deliver on our tenure. I would like to highlight that while we still have some challenges ahead, we are happy to say that the most difficult part of our financial transformation is behind us. As we enter that phase of our transformation, we will now focus more on accelerating our profit endeavor. Before discussing the results, I would like to emphasize that this is the first quarter in many years in which FX played in our favor, and the reported results are better than constant currency. Going through the numbers, here you can see our second quarter figures. All regions performed very well year-over-year with revenue growing almost 18% [Indiscernible] by both Telefonica and Multisector that expanded double digits each. Telefonica revenue growth was positively impacted by the full impact of the program one in Brazil in Q1 and higher volume in Americas, mainly, Peru and Colombia. The 14% revenue growth from Multisector was mainly driven by Americas and EMEA. In Americas, the highlight was the 33% increase in the US, which is consistent with our strategy to expand our results in hard currency. In EMEA, the 15% revenue growth was followed by utilities, transportation and government services. In terms of profitability, we delivered very strong EBITDA growth in all regions, reflecting the success of the efficiency initiatives implementing during 2020 and in 2021. The $51 million EBITDA we delivered in Q2 puts us on track to deliver a $200 million in full year. EBITDA margin in Brazil increased to 15.5% from 12% in Q1, validating the strong seasonality that we recorded in the first quarter, as we explained in our Q1 earnings call. In Americas, we expect margins to continue expanding as further penetrate the US market. Programs in the US are strong margins closer to 20%. Moving to the next slide. H1 '21 is the best first half for a year since the three Horizon plan was implemented in 2019. EBITDA margin increased when compared to the one reported in H1 2019. And moreover, it was 120 basis points higher when compared to the one excluding the extra items related to the transformation plan, attesting the success of the financial transformation of Atento. But the key message I want to discuss in this slide is that the 11.9% EBITDA margin we delivered in the first half of the year, combined with a strong session in H2, make us confident in our ability to deliver on our 2021 guidance or better, especially in terms of top line, considering the high demand for CX [76]. As I said before, the main challenge now is to use the solid foundation to accelerate profitable growth. And the key areas are continuing expanding our U.S. business and increasing exposure to hard currencies. As Carlos mentioned in the -- its prepared remarks, our revenues in hard currency already represents 25% of total, while the contribution to EBITDA is even higher at 30% of total. Now let's take a look at our cash flow. If we recall, we discussed during the earnings call, Q2 and Q3 last year, that certain governments offered companies the opportunity to postpone the collection of certain taxes during the pandemic. We were also able to initiate extensions with some suppliers. As those payments were in H1 2021, we had unusually high working capital requirements in the first half of the year. That combined with the one-off expenses related to the debts refi process led the free cash flow in H1 to be negative $37 million. For a better comprehension in trying to look into our run rate cash flow for H1 by excluding the one-offs, I just mentioned it, and also the working capital and CapEx related to the growth, our free cash flow for the ongoing operations in H1 was positive for almost $7 million, as you can see in this chart. In any case, given the positive seasonality, we have, in the second half of the year, we expect the free cash flow to be at breakeven for the full year 2021. Cash CapEx was [3.4%] of revenues in H1 2021 compared to 2.7% in the same period of 2020. Reflecting mainly investments in IT to allow for an acceleration of future growth. Important to highlight that the company entered in H1 into new programs with clients that already represent 70% of the full-year growth CapEx that we have budgeted. As most of the payments are scaled for H2, we reiterate our guidance of CapEx payments to be between 4% and 4.5% of revenues for the entire year. Finally, hence an important topic, our capital strength. We ended the quarter with our net debt at $561 million and a cash position of $154 million. Given our EBITDA generation and our expectations of a slightly positive cash flow for the year, we started to repay our revolvers to optimize our cash balance. In April, we repaid $10 million line in Brazil, reducing our drawn lines to $50 million out of the $80 million we have available. While the full repayment of the revolvers will depend on how the pandemic evolves. We expect to reduce the interest paid on the revolvers by $1 million in 2021 versus 2020. Our leverage ended the quarter already within the full year guidance range of 2.5 to 3x. This is a direct result of consistent improvement in EBITDA that we have delivered in recent quarters. As we have been saying since our Investor Day in November 2019, improving the capital structure is one of the key elements of our re-rating process. And we are confident in our ability to deliver the long-term targets of net leverage between 2.0 to 2.5x at the end of 2022. This concludes my prepared remarks. Thank you for your interest and support. Let's move to the Q&A.
Operator: [Operator Instructions] The first question today will come from Vincent Colicchio with Barrington Research.
Vincent Colicchio: Nice quarter.
Carlos Lopez-Abadia: Thank you.
Vincent Colicchio: I'm curious, the new Telefonica business added this year, how does that -- how do the margins there compare to existing business with that client?
Carlos Lopez-Abadia: Compared with that client, they're better. Compared with the rest of the business, they are not as good.
Vincent Colicchio: And a little more color on the manpower partnership. Are they bringing clients to you? Is there any of that -- how does that look?
Carlos Lopez-Abadia: We are expanding our multilingual, not just capability, but go to market. We're getting some traction in that area. It's a market, that you probably know, is growing and is very synergistic, is very related to our emphasis with global companies. Typically, these are the ones that tend to buy more multi lingual capability in one location. So we are expanding the place in which we want to provide those services from one Q1 that we're thinking about expanding from is in Portugal. And one of the ways we do this in an intelligent way is with partnerships until we build the sufficient volume, et cetera. That's the nature of the manpower partnerships.
Vincent Colicchio: It's a way they get to market faster as opposed to building it yourself?
Carlos Lopez-Abadia: On the delivery side, the product capability and sales, et cetera, is us.
Vincent Colicchio: And what portion of wage inflation do you currently expect to pass-through to clients this year? I don't know -- I guess, this might be for Jose.
Carlos Lopez-Abadia: Jose probably has the number. Let me tell you upfront. I know this was a question in Q1. We told you that we expected to have a significant amount of pass through, and that's coming to pass. We used to pass-through and the other 60%, now it's much higher, and we have a much tighter process to manage the pass-through, but just say probably have the figures.
Vincent Colicchio: Your US business is growing very fast. Will you -- I mean, it's hard to complain, but do you have any plans to increase resources there such as expand the sales force?
Vincent Colicchio: We are, we have and we will.
Operator: [Operator Instructions] At this time, it appears we have no further questions in the audio queue. And I would like to turn it over to Mr. Shay Chor for any questions over the webcast.
Shay Chor: Thanks, Sean. So first question, great quarter. In the first quarter, you were already pleased with the results. How do you feel about second quarter results and how they did against your internal plans.
Carlos Lopez-Abadia: We are very happy with Q2. I think we completed a very strong Q1 -- sorry, first half. And even some of the doubts that I think some people expressed on this call regarding EBITDA margin and inflation, ability to pass-through that inflation and so on and so forth, hopefully, would put that to rest with the results, not with the explanation. So we are -- we're very happy with the Q2 results. We feel that this puts us in a very good position to delivering the full-year results. And even more importantly, we are always looking not just at the past quarter, but we're looking forward, right? So we are keenly focused on delivering the third year of our 3-year plan, which is 2022. So we feel that this also puts us in a good position to start 2022 with very good traction.
Shay Chor: Congrats on a very solid set of results. From a top line perspective, very encouraging sales data. It seems like the company has changed gears from a sales perspective. Can you talk qualitatively about what has been some of the drivers behind this? And should investors expect this to remain in place?
Carlos Lopez-Abadia: Well, sure. We've done a number of critical things. We changed leadership in sales worldwide. We've upgraded a lot of our teams. We have put in place a methodology and processes that we didn't have before, both from the perspective of the if you want, the more the day-to-day pipeline management, incentive management and performance management as well as more strategic structures and processes around account management, the integration of service, innovation and sales, et cetera. So we have a significantly upgraded sales team. And we're not done yet. I mean, we have a long way to go. As I always say, I'm very happy with the progress we've made in sales. Probably one of the areas where I think the results speak for themselves. Clearly, you have to apply a electro microscope to see it. But there is a lot of potential, a lot of potential for improvement and per the previous question, we continue to invest in our sales capabilities and our go-to-market capabilities.
Shay Chor: Can you please talk about the lag between those new sales and the revenue actually kicking in and hitting your income statement?
Carlos Lopez-Abadia: So we've talked about different numbers in sales, right? So some of the numbers had to do with the first half. But let me give you about the typical lag. It changes depending on the program and the complexity and the size. But if you think about sales in one quarter impacting the next quarter and depending on the size, if it's a large deal, ramp up maybe more complex, it may take a bit longer. If it's smaller, it takes less. But if you think about a few months lag, that's probably a good guidance.
Shay Chor: Next one, Multisector grew very fast in Americas and EMEA and not so much in Brazil. Can you provide a little color? Did the Telefonica growth in Brazil constrain Multisector growth?
Carlos Lopez-Abadia: Well, clearly, we've been very busy with the growth in Telefonica in Brazil. And as I mentioned, it's not only a good volumes and growth are always good with an important customer just Telefonica is always good as well. And as I mentioned to you, is the kind of business we want to grow into. We have improved margins in Telefonica this year compared to last. So that clearly has kept us quite busy. We used to have a very, very strong Multisector growth. And I think we should be seeing that on a continued basis in Brazil. I think even if you look at the comparative, we're still growing Multisector faster than the market, which, as I always point out, for our team in Brazil. It's much easier for us to grow when you're a very small part of the market and grow faster than the market than when you are the market leader, and in particular in Brazil, we are several times the next participant. So it's a tough thing that we do on a regular basis and expect to continue to do so.
Shay Chor: It appears that as margins rise from the 20% level, free cash flow really starts improving. Can Jose speak about the higher-margin on the free cash flow?
Carlos Lopez-Abadia: Sure he has to take himself out of [Indiscernible] this time.
Jose Azevedo: Yes, I can. Basically, what's happening in the free cash flow, is we improved the EBITDA. And as we promised, we work very well in terms of revenues, but not only. We still [Indiscernible] on the cost structure. Our intention is exactly that it's entering 2022 better than we enter in 2021. We have a lot of improvement. And the idea of the free cash flow is creates a buffer in order that we can invest for the future. In the company, as everybody knows, we cannot -- we are very excited of CapEx. And we need some to invest, yes, and that is why we have a bit lower free cash flow. If we can make the bridge, if we take the CapEx that we invest for the future the [senior] plus the CapEx for growth we can get between $25 million to $30 million free cash flow. But as Carlos mentioned in some calls. We want to invest. We want to go for the new CX product and so on. That is why we are a bit slower, but the good news are, in fact, we start to have a positive free cash flow inclusive in the first semester. If you take out the one-offs, the free cash flow will be a positive one. So I think that is one of the first times in [Indiscernible] it's happening in [Indiscernible]
Shay Chor: Next, congratulation on the results. Do you have any news regarding the renovation of the MSA agreement maturing in '21.
Carlos Lopez-Abadia: Not a specific news. I think I mentioned that we are discussing with Telefonica, an extension of that agreement. As I always mentioned from day one, and I mentioned to my customers as well as to you. I fully believe in earning the business that we have with our customers every day, not to rely on any MSA or contracts. Now having said that, having one is not a bad thing. Having a commitment from one of your important clients to buy from you? It's very important. So I don't want to minimize that. So the intention is to have [Technical Difficulty].
Shay Chor: You mentioned in your release that you are competing for global accounts now. Can you say what services are you providing to global accounts, examples, names, anything that you can provide on that?
Carlos Lopez-Abadia: Now do you know this industry clients are a bit shy about using their names in public. But let me try an example that may give you an idea. For example, we have a global consumer electronics company, where we provide tech support for their clients for their electronics and several products. Media and entertainment, a very large, very successful media company where we provide customer okay. Food delivery, I can think of a couple of very well-known names, where we support them. A very premier social media platform, where we support them in digital advertising sales. Gaming, we support do gamer support. In fact, I believe we have announced the name of this company Riot Games. So I can give you other examples but I think it gives you an idea of the type of companies, the type of sectors, by and large, growth sectors, companies that are expanding and growing very actively worldwide. And also the range of services is not typically your traditional all services. They tend to have more value-add and more complex. But that's, as I mentioned to you, that the kind of segments and the type of services that we're going after.
Operator: The next question will come from Q - Michal Ostrowski with Insight Investments.
Michal Ostrowski: Can you share with us now any details of your ESG program, which you said to be launched in the coming months?
Carlos Lopez-Abadia: I will be sharing the full plan this quarter. I can share with you the highlights. As I mentioned earlier, I believe that this company has done a very good job over the years on ESG. We have a very -- when I compare with my past experience in other places, we provide a lot of support for diversity, a lot of support for disadvantaged people. We do a lot in the environment, et cetera, that we probably have not communicated very well in the past. And more importantly, we have not put that under a proper program with proper attention. So we have created a group and specifically for ESG, and we have a leader in the group dedicated to ESG. We are upgrading what we do at the Board. We have now a new Remuneration and Sustainability Committee. We are including a very significant component in future agendas of the ESG program. And so not only will be making commitments and -- obviously, communicating results but also making commitments to you externally, but also having a rigorous process, both at the management level as well as at the Board level.
Shay Chor: So going back here to the webcast. Your slide on free cash flow bridge is very helpful. Can you split out working capital versus growth CapEx in that $17 million? And what sort of cash payback you're expecting on those expenses.
Carlos Lopez-Abadia: I think this one is for you, Jose or Shay. I'll happily pass it on to you.
Shay Chor: No, I'll take that one. So the $17 million is split around $15 million is working capital and $2 million, slightly above $2 million is the CapEx. Important to say that we have already deployed or is under execution around $11 million in growth CapEx and only $2 million has been paid in the first half of the year. So this is an important reminder that we still have to pay that in the second half of the year. In terms of payback and other metrics, our -- the average payback on our growth CapEx is around 12 months. And another question we have here is on the returning assets capital on the growth CapEx. We aim at a minimum of 25% to 30%, but the growth CapEx projects that we have deployed this year so far, the ROIC is around 150%. Next question we have here. Wages have been rising in the US. Can you talk about how Atento can provide cost savings to US based clients?
Carlos Lopez-Abadia: Yes, wages as well known, have been growing. Not only that. I mean there's been shortages of -- in many cases, in many locations. So there's a number of things we do in the US, and I'm particularly happy to tell you that I feel we're doing very well. We're taking full advantage of the work at home, the Atento home platform that we have deployed, and where we have deployed some unique capabilities, like example, maybe you had the opportunity, but if you hadn't I recommend you go check out our digital hub demo that we did in a recent event, I think it's on our website. So we have invested and we have a work at home capability second to none. That has allowed us to go after much broader labor pool. So when we need to serve a particular customer from the US, it gives the opportunity to reach much further than we could have in the past. Also, please remember that we have very significant capabilities in near shore, Central America, Latin America and Mexico that also are very helpful for us at this particular time. So we've been able to -- I'm not going to say that it's been necessarily as [Indiscernible]. It used to be, or I hope it is in the future in terms of logistics and labor shortages, but we have been able to manage very well the situation.
Shay Chor: I see your peers reported adjusted EBITDA, some of the costs related to Covid still impacting business. And I noticed you are not reporting adjusted EBITDA. Can you say what specific costs that you are considering as normal business?
Carlos Lopez-Abadia: Look, we have taken the view that it's better to give the full numbers with one-offs, not one-offs, and you can see sometimes that tends to distort the message. So -- and that's not to say that we haven't disclosed and we think there's a very significant one offs. We did last year, but I prefer to give you the unvarnished results. So in our case, we did adjusted EBITDA, the number will be higher. Obviously, we have some significant costs still, not as much as last year, but the significant cost is still in -- from Covid. I think you said -- top of your head, we're talking about it in the order of $20 million. And I'm sure there are other one-offs that we could have baked into the number and say, this is the adjusted EBITDA number, which would be much more impressive number. I prefer to be conservative and give you the unvarnished, everything in one-offs and so on. That's why we've chosen to do it that way.
Shay Chor: In 2022 and beyond, how should one think about free cash flow? What level of operating cash flow do you expect? Is CapEx still 4% to 4.5% of revenues. Can you provide some clarity on free cash flow going forward?
Carlos Lopez-Abadia: Suspect this is for you again, Shay.
Shay Chor: This is for Jose actually.
Jose Azevedo: I can give you the color. As I mentioned before the free cash flow that we expected is between $10 million and $15 million in 2022 because we have to invest we talked a lot about 4% and 4.5% CapEx for revenue. But because you got to prepare to talk about numbers because otherwise, we don't know where the CapEx goes. But when we look for this year, we have around -- we will spend around $70 million or less, $30 million in maintenance. The maintenance ongoing basis will be almost between $30 million to $35 million. That is the number that we have. We invest around $20 million in terms of, we can say, strategy for the future. It means we have a lot of systems. We still have a lot of systems. On premise, we start to move to cloud. I'll give you an example, sales and finance. We look for [Indiscernible] in a three year basis, we expect to have around USD 50 million in savings to move that because first we have to pay in advance. In advance not because we have a good agreement with SAP. We pay monthly. But honestly, that is the type of CapEx that we need. And then we have around $5 million for efficiencies. It means in operations. We're still improving. That is our idea. We have very, in brief, clear where we want to be in terms of variable and fixed costs ongoing basis for that year to invest to. And we have around $15 million forward, yes. Overall, I think it will change -- will change. It depends a lot on the sales our sales guys. But if they -- as field sales has, they have done in the last quarter, and our expectation is because we have a very good pipeline for the future. Maybe we have to invest a bit more. It means our [Indiscernible] is around for next year, $80 million, $85 million in CapEx. To say that we can get around between $10 million and $15 million in a positive free cash flow, even we invest $80 million to $85 million.
Carlos Lopez-Abadia: And I'll just complement on Jose that brings back previous questions that we had on EBITDA guided to 13%. When our EBITDA goes above 15%, closer to the 14% we expect for next year, that really gives us a high leverage on the free cash flow side. So this is an important level that we need to continue delivering.
Shay Chor: How are you feeling about the momentum in the sales process over the next 12 months?
Carlos Lopez-Abadia: I think I mentioned earlier, I'm very happy with what the progress we've made in sales. What we see in the pipeline is not one big field or a couple of big rocks, but a solid and increasingly better, solid, deep and broad pipeline. I feel very good about what we have been able to accomplish, but I feel that there is still much more that we can and we will do. So I'm optimistic of our continued improvement in sales. Sales like anything in the world, particularly more in the case of sales, it also depend on market trends and all those things. But our own capabilities, what we can do, that depends on us and that we continue to improve. And I think you've seen the results. I see continued improvement in this area.
Shay Chor: And has the company thought about having an Investor Day later this year?
Carlos Lopez-Abadia: We have. I don't think we put a specific day. We were playing with a similar date as we had a couple of years ago. I think it was November-ish time frame. I think it will be a good time to -- with the results clearly on the way to deliver the results that we promised back a few years ago in terms of three year plan, I think we'll be very fitting to present to the investors our next 3-year plan. So probably, stay tuned, we'll probably be looking at a November time frame.
Shay Chor: Next one, now that you have delivered on your improved profitability, is there room for more improvement in margins beyond '22, meaning '23 and '24.
Carlos Lopez-Abadia: The answer is absolutely, yes. Again, now we get into the next three year plan. But look, we're always looking ahead. You can see competitors that had the -- also have significantly higher margins. As I mentioned to -- I don’t know if I mentioned in this call, but I don't do anything in life thinking about being second or third or fourth, I'm always looking at how do I become the first, the best. So I think we have a long way to go to reach the long-term potential of Atento, not only in margin per se, but also in margin.
Shay Chor: We've got no further questions here on the webcast. Sean, back to you to see if we have anybody on the line.
Operator: At this point, there are no further questions in the audio queue either. And I would like to turn the conference back over to Mr. Carlos Lopez-Abadia for any closing remarks.
Carlos Lopez-Abadia: Nothing further from me. Thank you all for being here and taking the time to have these discussions. As always, just share myself, like your questions, occasionally, your challenges. The part that I personally prefer all these conference calls. So please keep them coming, and we'll try to answer them at the best of our ability. So thanks again, and talk to you soon.
Shay Chor: Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation, and you may now disconnect.